Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Telkom 9 Months 2014 Conference Call. [Operator Instructions] All the materials for today's conference is available at our website, www.telkom.co.id. Please be advised that this conference is being recorded today. The first speaker may now begin.
Prakoso Imam Santoso: Thank you. Ladies and gentlemen. Welcome to PT Telkom Indonesia 9 Months' Results Ended September 30, 2014 Conference Call. Director of innovation and Strategic Planning will give you the overview and then continued by question-and-answer session for all the partakers. The presentation of this earnings call is available on the webcast, and an audio recording will be provided after the call for the next 7 days. We released the report of 9 months financial results ending September 30 on October 27, 2014 and could be accessed through our website, www.telkom.co.id. Before we continue, let me remind you that this call and the responses to questions may contain forward-looking statements within the meaning of Safe Harbor. Actual results could differ materially from projections, estimations or expectations voiced during the call. These may involve risk and uncertainty and may cause actual results to differ substantially from those discussed in today's call. Telkom Indonesia does not guarantee to any actions, which may have been taken in the reliance of the discussion held today. Ladies and gentlemen, we are blessed to name you our Board of Directors, who are currently joining with us: Mr. Indra Utoyo as the Director of Innovation and Strategic Portfolio; Mr. Honesti Basyir as Director of Finance and Chief Financial Officer; Mr. Heri Supriadi as Director of Finance of Telkomsel; and Mr. Alistair Johnston as Director of Marketing of Telkomsel. Before Pak Indra delivers his remarks, I will take this opportunity to give a brief overview of Telkom Indonesia. Telkom is the single largest integrated telecommunication company and network provider in Indonesia with over 153 million telephonic customers and more than 82 million broadband users at the end of 9 months 2014. Telkom provides a strong business portfolio of T-I-M-E-S: telecommunication, information, media and edutainment, directly or through its subsidiaries, and Telkom also delivers service to multi-customer portfolios, which is retail, enterprise, wholesale and international. As of September 30, 2014, the majority shareholder of our common stock was Government of Indonesia with 52.6% ownership, and the remaining 47.4% was under public ownership. I now hand over the call to Pak Indra Utoyo for his overview. Pak Indra, the time is yours.
Indra Utoyo: Thank you, Prakoso. Good afternoon, ladies and gentlemen. A very warm welcome to each one of you to our conference call for the 9-month results ending September 30, 2014. We sincerely appreciate your participation on this call. As you may already aware, Pak Arief Yahya, our CEO, has been appointed and assigned as Ministry of Tourism of Republic of Indonesia by President Joko Widodo. Therefore, he could not join the call today. By regulation, he could not assume other position in the corporate while being a minister. I hope there will be a new CEO appointed by picking Pak Arief within a certain time period. While waiting for the new CEO, Telkom Board of Directors will continue all the programs that already planned for this year. I wish the best for Pak Arief Yahya. In today's call, I will give you an overview of our achievement in the 9 months 2014 until the end of September. We could maintain a good performance in provisional and financial results. I would like to update you on the progress of our dealers [ph] and fixed line business development, as well as other business portfolio. Ladies and gentlemen, let me start the overview by sharing the highlights of our 9-month results. First, Telkom consolidated revenue increased 7.1% year-on-year, and EBITDA grew by 4.2% year-on-year. This is in line with Telkomsel's performance, which recorded 10% year-on-year revenue increase and 5.6% year-on-year EBITDA growth. Second, Telkomsel gained more than 7.8 million net additional customers during the 9 months 2014, making total customer base to reach 139.3 million. Third, Telkomsel continued to expanding its network, adding more than 13,400 new BTSs during the 9 months of 2014, with around 7.5% -- I repeat, with around 75% of them are 3G BTSs. Ladies and gentlemen, our fixed broadband users increased by 14.1% year-on-year to 3.3 million, and the revenue increased to IDR 3.6 trillion year-on-year in the 9 months. Our mobile data users also increased 14.8% from last year to 33.5 million -- 63.5 million users. We booked IDR 11.1 trillion revenue from mobile data or a 32.5% increase year-on-year. Total mobile data in fixed broadband revenues increased 25.3% year-on-year to IDR 13.7 trillion. Ladies and gentlemen, revenue contribution for the 9 months of 2014 was communicated by data, Internet and IT service revenue, which made for 40.9% of the total group revenue with 15.4% growth compared to end of September 2013. Cellular voice revenue, being the second, contributed 38.38%, with 5.8% growth year-on-year. Those 2 segments, followed by fixed line voice, which contribute 10.3%, whereas the remaining 10.8% was contributed by interconnection, network and others. On the expense side, in the same period, operation and maintenance expense was the biggest contributors with 38% of total expenses. The second and the sub-contributors were depreciation, amortization and personnel expenses making 27.5% and 15.5% of total expenses, respectively. While the composite of interconnection, G&A, marketing expenses, ForEx net and others net contributed 18% to total expenses. Total expenses increased by 8.7% compared to same period last year, mostly due to the increase in operation and maintenance expenses following our accelerated [ph] network deployment in our cellular subsidiary. During the 9 months of 2014, on average, we built nearly 1,500 BTSs per month. Ladies and gentlemen, as mentioned in our previous calls, we are now focusing our effort and resources on supporting 3-pronged strategy as stated by our CEO: first, maintain leadership in cellular business; second, developing our broadband infrastructure; and third, expanding international business. In our first prong strategy, we maintain our mobile leadership in continuing last semester's achievement. Telkomsel is in the process of growing its Digital business. For the 9 months 2014, digital business contributed 33% to Telkomsel's total revenue, significantly increased from 19.1% last year. Revenue from digital business grew by 32.5%, contributed from data broadband, which grew 32.9%, and digital services increased 28.4% year-on-year. We believe that these businesses will keep on being the main engine of growth in the future. The other affecting potential growth will be from penetration of smartphones. Adoption of smartphones is one key to accelerating customers' data consumption. Meanwhile, we are pleased to notice that our continuous effort has resulted in increase of smartphone penetration from 23% to 25% of Telkomsel's customers in just 1 quarter. To support the development of Telkomsel's digital business, we need to enhance the digital ecosystem, which encompass the 5 [ph] networking applications. We made strategic partnership through our subsidiary, PINS, by acquiring 25% of Tiphone shares. Tiphone is a leading company that rate and manage IT and telecommunication devices. Partnership between PINS and Tiphone is expected to enhance our subsidiary, and at the same time support Telkomsel's digital business. Tiphone is one of the biggest Telkomsel future [ph] distributors, and it's also distributor for many branded smartphones. We also made efforts to protect our legacy business, which bring 4.7% revenue growth over last year, with voice revenue grew 7.2%, whereas SMS increased 2.8%. We will continue to focus on geographical clusters and customer segmentation, by which we could protect and maintain our legacy revenue growth. We are in the process to cease our fixed wireless service, Flexi, as the government has decided to reallocate 800 megahertz frequency, which previously belongs to Flexi, to be utilized by Telkomsel. We offer Flexi customers to migrate to Telkomsel with some incentives. We expect we could complete the migration process no later than December 2015. We believe this will bring more advantage to our Cellular business, as Telkomsel will have the additional 7.5 megahertz frequency to strengthen their quality of services. We have been and are looking at the possibilities to unlock our tower assets. We see that strategic partnership with one of the listed prominent tower companies will make our tower asset perceived as more independent that, at the end, would increase balancing ratio. Currently, balancing of our tower subsidiary, Mitratel, is 1:1, much lower than the other tower companies with balancing ratio of 1:7 to 1:8. We have come to an agreement with Tower Bersama to acquire up to 13.7% Tower Bersama shares that will be exchanged with Mitratel share that will be done in 2 stages. For the first stage, we will acquire 5.7% of Tower Bersama's share in exchange with 49% of Mitratel's shares. Under the agreement, on the second step, we have an option to increase our ownership in Tower Bersama by 8% through swapping the remaining of 51% of share in Mitratel. The option is valid for 2 years. The second prong strategy is our Indonesia Digital Network. Our fiber backbone network connecting major islands in Indonesia that we expect by end of 2015 would make 75,000 kilometers. Until the end of 9 months, already completed 73,600 [ph] Kilometers. This backbone network will connect Papua and Maluku with other major islands, Sulawesi, Java and Sumatra. Fiber network deployment is made to serve both cellular business and fixed broadband. Until end of September 2014, we have 11,957 Node B 3G BTS sites connected through fiber, which is 40% of total 3G BTS sites. In order to expand value in our networks, we have initiated IP value-added services for enterprise and government in partnership with Telstra. Telstra is the largest Australian telecommunication company that's well known for its success in Network Application and Services globally. A joint venture is established between our subsidiary, Multimedia Nusantara or Metra, and Telstra to provide Network and Application Services for corporate business. Metra is our subsidiary that focuses on the ICT and media business. We aim to monetize potential and opportunities that we have in our fixed line assets by extending minutes service, leveraging our ideal networks. Under this minutes-service portfolio, we will develop minute network services, minute security services and unified communications for corporate customers in Indonesia and Asia Pacific region. With this initiative, we will utilize telkomsigma data centers and expect we will also pull through growth in our data center business, conducted by Sigma Cipta Caraka, one of Metra subsidiaries. Within our third prong strategy is international business expansion, our progress has been rapid. We firstly focus on expanding our international Internet traffic gateway, which we'll call it Indonesia Global Gateway. To support this, together with other regional telco companies, we initiate and develop the submarine development cable consortium Southeast Asia-United States, or SEA-US Consortium, and Southeast Asia-Middle East-Western Europe 5, or SEA-ME-WE 5 Consortium. The 2 projects have been commenced and scheduled to begin operation in 2016. We have also expanded across our network into contact center business to drive services revenue in the acquisition of Contact Centres Australia or CCA. We acquired 75% of CCA's shares through our subsidiary, Telkom Australia. CCA provides contact center services and business process outsourcing. We have subsidiaries focused on those services under Metra, in particular, 2 subsidiaries. First is Infomedia. It's the one that's focused on contact center business. Second is Sigma focused on UN-contributed IT solution. By acquiring CCA, it is expected that synergy could be made. With Telkom support, CCA could expand in their largest corporate of government and of the markets within a relatively short period of time. In the meantime, Telkom is expected to improve its contact center operation by adopting the systems and expertise that CCA has. We believe that this path will intensify our business process outsourcing and contact center business globally. Ladies and gentlemen, let me now reiterate guidance for the year 2014 as a wrap-up. For 2014, we expect both consolidated and Telkomsel's revenue could grow in line with or better than market growth. Telkom's consolidated revenue is expected to grow between 6% to 7%. Meanwhile, Telkomsel could maintain a revenue growth in line with or slightly above the industry. For EBITDA margin, it will slightly decline for Telkom consolidated and Telkomsel. Consolidated FX spending for 2014 is expected to be 20% to 25% of revenue. Allocation for Telkomsel purpose is around 70%. Meanwhile, for Broadband business, it's around 20%, and other subsidiaries is 10%. That's ending my remarks. Thank you.
Prakoso Imam Santoso: Thank you, Pak Indra. We will now begin the questions-and-answer session. [Operator Instructions]
Operator: Your first question comes from Sachin Gupta.
Sachin Gupta - Nomura Securities Co. Ltd., Research Division: I have 3 questions, if I may. Firstly, I just want understand, there's a drop in the interconnect revenues. It's quite a sharp drop, and I understand my typical traffic patterns, but just wondering what has changed? Or anything else happening for interconnect revenues to be dropping in the quarter? That's one. Secondly, just results on data pricing trends. It looks like they have dropped once again, but, obviously, volumes are good. But is that what the intention of the strategy is going forward, given yourself and some of the others have talked about that they're looking to increase their pricing but, obviously, that's not coming through? And lastly, I think you just mentioned a CapEx guidance of 25% or so. But in the first 9 months, you are running about 33%, 34% anyway. So does that mean that CapEx could actually increase for the year? That's it.
Prakoso Imam Santoso: Sachin, could you repeat the question?
Alistair Johnston: I'll comment. The first one on drop on interconnect revenue. Yes, it's entirely due to changing traffic patterns. In fact, we have seen less -- in particular, less SMS coming from our mobile competitors, in particular, Indosat and XL, which seems to carry back to a decline in SMS and voice volume on their networks, which I think also carries back to, obviously, the market performance, but also the fact that they've been putting price up quite aggressively. So I think we're comfortable and there's a pattern. There's been no significant change in either international traffic or any of the rates, which are, of course, regulated. Number two, in terms of data pricing trends, really the same trend this quarter as we have observed previous quarters with another decline. Really the same reasons behind that, principally migration from pager use to flash packages, and migration from Blackberry to Flash, Flash being our kind of general Internet packages. And finally, our customers taking up midnight to 8:00 a.m. data offers. During the period, we haven't reduced any data prices. And in fact, we have initiated a program of increasing data prices. But in fact, what has happened is that those trends have really accelerated, so the growth in traffic is really -- are keeping growth in revenue. So I think looking at the latest revenue from my expectation, I think we will more aggressively raise price than perhaps what we have done to try and manage that decline. I think I've spoken quite a bit on previous occasions about our desire to flatten out that decline and ultimately, raise the [ph] yield in the market.
Sachin Gupta - Nomura Securities Co. Ltd., Research Division: Okay. But just on the CapEx?
Honesti Basyir: Yes. I think looking at the CapEx for this quarter, of course, we accelerate some program because also to support the new program of the new covenant opportunity [ph] because we actively do the discussion with the transition team at the time. So we also try to see what sector that Telkom can bring support. But that's why we accelerate our CapEx situation. But for our full year, we still keep our guidance for CapEx, 20%, up to 20% of our revenue. So the total CapEx up to the third quarter 2014 is still in line with our program.
Operator: Your next question comes from Luis Hilado.
Luis A. Hilado - HSBC, Research Division: I also have 3 questions regarding the results. Just wondering, you've mentioned in the info memo that G&A expenses, down 41% Q-on-Q due to a decrease of collection fee. I'm just wondering if you can give us more color on that and whether this is a recurring cost reduction for you. And second is other income for the quarter up 112% Q-on-Q. Just wondering what that other income was. And last question is you mentioned, of course, that the Flexi will gradually be migrated to Telkomsel, but we saw this quarter that the Flexi subs seemed to have increased. Is there a reason for that trend? And will we see that again coming off in the next few quarters?
Honesti Basyir: Okay. With respect to, as I said, the third quarter [indiscernible] collection, that's happened in our enterprise market. It's because some corporate -- our enterprise segment, they review their budgets. And officially in the government sector because of some regulation that changed, for example, for military and also the government sector, they revised the budget. That's why there's some collection that we already planned in third quarter, we cannot book. But in the fourth quarter, we can collect -- we can reverse this collection into our revenue.
Luis A. Hilado - HSBC, Research Division: Okay. So this -- it's sort of like a provision in a way?
Honesti Basyir: Yes, yes, provision pricing, yes.
Unknown Executive: Other income.
Honesti Basyir: Other income, that's -- this is part of our network modernization. First, we have the C2 [ph] and also non-C2 [ph] projects. When we replaced all the copper cable to be fiber, we can sell the scrap value of our copper cable. So this is why the other income also increased.
Prakoso Imam Santoso: Luis, would you please repeat the question for Flexi?
Luis A. Hilado - HSBC, Research Division: Yes. I saw the subscriber numbers increased this quarter. Is there a reason for that? And should we expect next few quarters that there will be, again, more migration to Telkomsel?
Honesti Basyir: Yes. This may be -- I believe that since we announced in the newspaper regarding the incentives that we will give to Flexi's customers as they will move to Telkomsel site, maybe some customers starting to join Flexi for this. I believe that this is only for temporarily.
Operator: Your next question comes from Roshan Raj of Merrill Lynch.
Roshan Raj Behera - BofA Merrill Lynch, Research Division: Three questions for me. First one, just some color on competition. How do you see your pricing in the market versus your competitors? And what sort of premium would you be able to support, particularly when -- if your competitors do not follow through in terms of raising tariffs, be that in voice, SMS or data? Second question is on fiber. Recently, we have heard of some of your -- or some of the smaller operators, they are looking at launching broadband services on fiber in some of the high-end retail segments. What has been your approach to this segment? And when and how will you be launching fiber broadband? And the third question is on the trends for fourth quarter. Is that going to be similar to what we have seen in the first 9 months? Or one could expect margins to improve as you kind of pull back on your CapEx moving into fourth quarter, and so costs could possibly decline?
Alistair Johnston: So I can comment on the first one, Roshan, on trends of competition. I think [indiscernible] is fairly stable. I think the market is very focused now around the big 3, although, obviously, Hutch and the 3 remain active, but I think the real price setting is being done by the big 3. I think that my 2 big competitors have all indicated that they wish to improve pricing generally, in particular, on data. And certainly, the plan that we've been executing for some time now remains, which is to continue to price up incrementally and tactically on voice and SMS. But also on the data price, as I said before, we look to stabilize that in the market and, hopefully, to increase that yield. In terms of our premium and in terms of XL, I mean, our voice price is roughly double theirs. Our SMS price is 3x. Our premium on data, as of the first half of the year, I haven't seen their results yet, it's about 40%, and the premium on data is smaller. And I think those -- we would look to sustain that premium and, perhaps, build it on data going forward.
Roshan Raj Behera - BofA Merrill Lynch, Research Division: If I could just quickly follow up on that. Are you getting any trends on the ground which suggest your 2 big competitors are raising tariffs?
Alistair Johnston: Yes, I think so, I think so. I've seen some evidence of that happening. And in general, I mean -- in general, I assume the trends for Indo and XL are very similar to ours, which is their yield is going down very quickly, and that their traffic is growing very quickly. I mean, our traffic growth year-on-year is 150%. I expect the same to be happening to them. So that's not, in my opinion, an environment in which to reduce price when there's that much demand in market. I think it's an environment to raise price or at least stabilize it. So I -- yes, I'm seeing that being carried through in the market.
Operator: Your next question comes from Colin McCallum of Credit Suisse.
Prakoso Imam Santoso: Excuse me, we haven't finished the last answer yet.
Honesti Basyir: Regarding the fixed line broadbands, I think we improved for 4 months our fixed broadband. From last year, the revenue just only grew to around 6%, but this year, we grew 7% up to 8%. And also in terms of the subscriber, also we increased the number of subscribers. But again, we can say this regarding the fixed broadband, we have the focuses and the deployment also of the selling subject [ph]. First, we focus on the fiber for the mobile segment, and second, fiber for the high-end market and the fiber for the -- our residential. But regarding the residential, I just said it depends on the -- our plan to map -- to mapping the location of the new residential that's deployed by also maybe for the [indiscernible], also the government sector. [indiscernible] And now we have around 9% for -- ready to promote for the fiber. [indiscernible] For fourth quarter figures, as mentioned by Pak Indra in his notes, I think for [indiscernible], we try to keep the -- to maintain the gross not [ph] decline up to 2%. So I think the numbers, we could, by third quarter, we still try to maintain.
Colin McCallum - Crédit Suisse AG, Research Division: Shall I go ahead with the question? It's Colin McCallum here of Credit Suisse. A couple of questions. First all, just on Flexi. Will you need to take any impairment on Flexi? What sort of book value is left on Flexi? And can I also just ask in terms of the incentives to move to Telkomsel, what kind of incentives are we talking about? Would you go to the extent of things like free handsets? And are we -- where -- in which line items are we seeing these incentives? Is it visible within the Telkomsel profit and loss account? Or is it in the PT Telkom's or fixed line P&L account? Where is it currently sitting? Last 2 questions on Flexi. If I could also just ask another question, I suppose, really of the Telkomsel team, just regarding the kind of squeeze that we see here in terms of the EBITDA in the third quarter and in the first half. It was more the EBIT level we saw that had the squeeze. At what point would you look to try and claw back some margin, particularly from what you're spending on the tower side? And in particular, does that become more difficult now that the transaction between PT Telkom and Tower Bersama has occurred? Is it more difficult for you now to lower the lease rate you're paying? And is there any intention to still attempt to do so? Final question was just on -- there's an article recently talking about a significant increase in group CapEx in 2015, partly to support Wi-Fi. Just wanted to get management's comments on whether those comments in the press regarding Quantum are correct? And any color on how you will actually monetize and make a big, nationwide Wi-Fi rollout?
Prakoso Imam Santoso: Colin, could you please repeat the second question regarding Flexi again?
Colin McCallum - Crédit Suisse AG, Research Division: I think the questions on Flexi were, first of all, is there an impairment charge on it? Is there -- what's left in terms of book value? And secondly, the incentives for people to move from Flexi to Telkomsel? Which line item or whose accounts are those incentives in? And what sort of incentives are you talking about? Is that taking revenue? Or is that costs?
Honesti Basyir: Regarding the Flexi migration process, because of this other nation [ph], we still have time to migrate up to December 31 in '15. So I think this year, we still -- we will book -- we still book the impairment for Flexi. But more than that, I think, that's the same number with last year. And also for the incentive that we give to our Flexi customer, we will see that the customer is eligible customer. It means that, that minimum IDR 10,000 to spend for Flexi. They have 2 options actually, whether they will choose the incentive in terms of airtime [ph] or maybe they will choose in terms of handset replacement. They did [indiscernible]...
Colin McCallum - Crédit Suisse AG, Research Division: And whose accounts does that appear in, of costs saved by Telkom, not Telkomsel?
Honesti Basyir: Yes, Telkom.
Alistair Johnston: Colin, actually, just to emphasize what Palmer [ph] was saying. It's basically, the incentives are scaled to a customer's historical ARPU level. So basically, we only make an investment based on the value of that customer. And like Palmer [ph] said, it can either be handset-based or airtime-based. And actually, the evidence we're seeing at the moment is that everyone's going for airtime. But we'll see how that turns out. My understanding, in terms of the accounting, it is visible in Telkomsel's accounts initially as a revenue hit for us or as a cost for the handset. But as part of the conditional transfer agreement that we have agreed for the transfer of Flexi spectrum and customers, there's a reimbursement process and that's the one factor. There's a commercially agreed sharing of that cost between Telkomsel and Telkom, which has, obviously, been agreed.
Heri Supriadi: I'm going to answer the second question on the figures. Do we -- can improve the figure of margin in the last quarter of this year? We can answer from 2 sides. From the revenue side, we expect, in December, the revenue will going up. It's even better compared to the either Q3 months, until December, of which becoming the strongest month for us in the revenue side. So far, we already feel our network to support all requirement for having that, I think, the big traffic. And the second, in the cost side. The cost side, we continue to improve the efficiency of our network, continue to have a better scale in the tower lease and also in the transmitter lease. Based on that scheme, we expect the overall figures can be improved in the last quarter and improve the whole figure of this year, but we are trying to do over and over and continue to do so. Growth CapEx [indiscernible].
Honesti Basyir: Growth CapEx. I think, this year, we gave the guidance, not changed yet. We still keep the guidance, 20%, up to 20% of revenue for the CapEx next year.
Colin McCallum - Crédit Suisse AG, Research Division: Got it. Any quick comments from Telkomsel regarding tower leases and trajectory and conflict?
Heri Supriadi: I think we're not seeing it as a conflict or whatsoever because we also have the comparison in the market. We're going to have, I think, the scale that's appropriate for us. I think we're trying to improve from time to time.
Operator: Your next question comes from Arthur Pineda of Citigroup.
Arthur Pineda - Citigroup Inc, Research Division: Arthur here from Citigroup. Three questions for me. Firstly, on the mobile side. Revenue growth had been strong, but the monetization appears to be quite muted at just 5% to 6%. Do you think it's actually cost effective to continue out-investing peers, given the impact in your OpEx levels? Or would it be more profitable if you actually scaled this back? The second question I have is on Flexi. What are the operating cost implications should you totally shut down Flexi by 2015? What is the rated OpEx link to Flexi basically? Third question I had is with regard to your VoIP revenues under the ICT segment. This jumped significantly from IDR 90 billion in the first half to IDR 3.7 trillion as of 9 months. What's accounting for this massive jump?
Heri Supriadi: On the revenue growth of the mobile. I think, as mentioned by Pak Indra, it is -- we have tried to continue to keep our revenue slightly higher compared to the industry. So far, already 3 years, we have good results. And we try to do so again until the end of this year and next year. And the cost-effective, you mentioned here, what about the margin, although we have that quite strong growth in the revenue. Yes, the way we see the cost is like this: Because we try to do the interplay [ph], of course, in the beginning of the year, the growth is quite higher compared to the revenue growth. Over the time, we try to monetize the -- after that we already deal. [ph] So we expect the improvement will come until the end of the year. And the way we manage the cost-effective, we know that 53% of our costs are coming from the operation and maintenance relative to our network. And from it, we can monetize it better. I think the margin will be a better one. That's what we're going to do until the end of the year. We try to control the costs while keeping the revenue continue to grow higher than the industry. By having that one, we expect we keep our results better than what we see in this quarter. I think that's my explanation on the how we're going to do cost effective. On the Flexi cost indication, the direct indication is coming from the spectrum key [ph]. This cost around IDR 526 billion for a year. That will come to our book next year. And corresponding to that, actually, we can use the spectrum by having less BTS compared to using a higher spectrum. So we can expect the efficiency in the investment and also in our OpEx. This is kind of the long-term investment. But overall, the direct impact will be seen by, I think, [indiscernible] that we're going to build by using that spectrum, and also because it is also related to the operation and maintenance costs directly. We expect also some operational and maintenance costs will be lower.
Honesti Basyir: Okay. Talking about the Wi-Fi business. Yes, we were in the early stage when it came under Wi-Fi decision on our business money as a group. Even though we don't optimize yet the monetization of the Wi-Fi revenue, but month-to-month, we increase the performance. For example, up to the third quarter this year, we ordered more than IDR 130 billion for Wi-Fi revenue. But we believe in the future, that on our discussion with Telkomsel, whether we want to support the concept with Wi-Fi uploading, I think if we can achieve at least 60% of Wi-Fi network effective using by 3G or LTE uploading, we believe that the Wi-Fi business revenue [ph] also increase directly.
Arthur Pineda - Citigroup Inc, Research Division: Sorry. My question was on the VoIP side, given that there's a big jump from IDR 90 billion to IDR 3.7 trillion under your ICT segment?
Honesti Basyir: Can you repeat again?
Arthur Pineda - Citigroup Inc, Research Division: Sorry. My third question was actually pertaining to Voice over Internet Protocol revenues. We -- if you look at the first half revenues, it was at IDR 90 billion. Now it's at IDR 3.7 trillion. Any -- was there any reclassification here?
Honesti Basyir: Okay. We are regrouping the -- how we recognize revenue before from the interconnects, and now we move into the data Internet revenue, and also [indiscernible].
Arthur Pineda - Citigroup Inc, Research Division: So it was reclassified this quarter?
Honesti Basyir: Yes, yes.
Operator: Your next question comes from Anand Ramachandran of Barclays.
Anand Ramachandran - Barclays Capital, Research Division: I had just 2 questions. Firstly, if I look at the company as Telkomsel and then x Telkomsel, i.e. everything else, the fixed line and other revenues and EBITDA both have declined sequentially or year-on-year materially. I'm just wondering whether there was any one-off in here? Or are these structural trends? Or is it something we're missing in this particular regard? So that's question number one. Question 2, in terms of the recent transaction with Tower Bersama. Do you have any further clarity on whether this will have any material impact on financials at all at this stage?
Heri Supriadi: I think on your first question on the -- any other one-off restructuring in terms of revenue or in the FX or cost in our FX, no, we don't have that one so far. It is still normal condition. No structural things so far.
Honesti Basyir: Okay. For the tower transaction, I don't think there is a material impact to Telkom actually in price revision [ph] because the contribution of Mitratel revenue is not more than 3%. But I think that this probably will be changed. When we already [indiscernible] maybe after the [indiscernible] execution.
Operator: Your final question comes from Choong Chen Foong of CIMB.
Choong Chen Foong - CIMB Research: Two questions. The first question is on the mobile business. Given that you've done quite a bit of tariff adjustment so far, could you give us some sense as to whether you think there's further room to raise the tariffs going forward? Or are you -- do you see some strength in terms of usage among your subscribers? Secondly, can I confirm whether there's going to be an ERP that's going to be done in the fourth quarter of the year?
Alistair Johnston: Okay. On the first one on adjustment. I think the honest answer is it's very difficult to predict at the moment. Our MoU and voice and our SMS is actually growing still, so it's up 2% year-on-year in both cases, as well as our price is increasing. So we've been able to balance our price raises quite carefully so as not to destroy volume. How long that can continue for, I just don't know. I mean, our methodology is pretty sound in that we obviously have a large number of geographic pricing clusters, and we look at the particular circumstances in terms of network competition and customer behavior in a geographic cluster before we make a change. But I would hope we would be able to continue to support voice and SMS for some time, but we will see. We tend to change price and then await the impact, and so far, it has been pretty positive. In terms of data, I'm convinced that there's generally an opportunity to initially flatten the decline in yield and then increase it. And I think it's important for the industry that we do that. I think, in particular, on monthly data packages, we benchmark Indonesia prices against other countries. That's the area where Indonesia tends to be cheaper. That's the area where we'll look to increase our pricing around, this kind of large volume monthly prices. So I think if we do that, I think we should be able to stabilize the pricing and, hopefully, raise it.
Honesti Basyir: Second question regarding the ERP program. We canceled our ERP program for this year because we are in the process to review our ERP policy because there's an -- our experience for the last ERP execution [ph], we see that the pattern is not -- so that's why -- now we improve our database employee based on their performance. So the next ERP program that we plan to be executed next year will benefit the low-performance employee.
Prakoso Imam Santoso: Well, I think we can still take one more question before we wrap this up.
Operator: Your final question comes from Yukatresh Mehrotra. [ph]
Princy Singh - JP Morgan Chase & Co, Research Division: This is Princy Singh from JPMorgan. I had a question on the CapEx. I know you have given the full year guidance at 20% to 25%. If you look at the info memo, the absolute number for the first 9 months is about IDR 22 trillion. That's a run rate of about IDR 7 trillion per quarter. So just on an absolute number or absolute CapEx perspective for the fourth quarter, could you share some guidance on would it be safe to run with a IDR 7 trillion kind of a run rate and extrapolate that to the fourth quarter as well?
Honesti Basyir: Yes. As we mentioned in the previous Q&A, we did some extrapolation [ph] in the CapEx deployment. But for full year, I think that we still keep our guidance for of 20% up to 25% of our revenue. On our data up to the September 2014, the payment CapEx is around IDR 19 trillion. [indiscernible] of the full year target.
Prakoso Imam Santoso: Okay. Thank you, everyone, for participating on today's call. I apologize for those whose questions could not be addressed. Should you have any further questions, please don't hesitate to contact us directly. Thank you.
Operator: That does conclude today's conference. Thank you for your participation. You may all disconnect.